Operator: Good day, ladies and gentlemen, and welcome to the Calumet Specialty Products Partners Second Quarter 2016 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to your host, Noel Ryan. Please go ahead.
Noel Ryan: Thank you, Stephanie. Good afternoon, and welcome to the Calumet Specialty Products Partners Second Quarter 2016 Conference Call. Thank you for joining us today. On today's call are Tim Go, our CEO; Pat Murray, EVP and Chief Financial Officer; Bill Anderson, EVP of Sales; Ed Juno, EVP of Operations; and Bruce Fleming, EVP of Strategy and Growth. Before we proceed, allow me to remind everyone that during the course of this call, we may provide various forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Such statements are based on the beliefs of our management, as well as assumptions made by them, and in each case, based on the information currently available to them. Although our management believes that the expectations reflected in such forward-looking statements are reasonable, neither the partnership, its general partner nor our management can provide any assurances that the expectations will prove to be correct. Please refer to the partnership’s press release that was issued this morning as well as our latest filings with the Securities and Exchange Commission for a list of factors that may affect our actual results and could cause them to differ from our forward-looking statements made on this call. As a reminder, you may now download a PDF of the presentation slides that will accompany the remarks made on today's conference call as indicated in the press release we issued earlier today. You may access these slides in the Investor Relations section of our website at calumetspecialty.com. With that, I'd like to introduce Tim Go to the call.
Tim Go: Thank you, Noel, and good afternoon to all of you joining us today. Please go ahead and turn to Page 3 of the slide deck. In the second quarter 2016, we generated adjusted EBITDA of $70 million as a solid performance in our specialty products segment was partially offset by weak performance in our fuels products and oilfield services segments. Our specialty products sales volume increased by more than 15% year-over-year in the second quarter. However, a rapid rise in crude oil prices during the period resulted in lower-margin capture as product prices lagged higher feedstock costs. Importantly, specialty margins appear poised for recovery, following announced product price increases that went into effect in June of 2016. In our fuels products segment, market conditions were challenging during the second quarter, as evidenced by more than 40% year-over-year decline in the 2/1/1 Gulf Coast crack spread and elevated RINs-compliant expenses, resulting from higher RINs costs. These headwinds were partially offset by improved market premium versus the Gulf Coast on our motor fuels sold in our local fuels market throughout the second quarter. Notably, our Great Falls refinery continues to operate well, following the completion of the capacity expansion project earlier this year, and currently participates in one of the strongest markets in our fuel system. Despite continued cost rationalization within our oilfield services segment, drilling and completion activity in many of the basins we serve remains depressed. Although we have experienced a slight increase in the number of rigs we currently service in the Permian Basin, rig count in all basins we service remain largely unchanged. Please turn to Page 4 of the slide deck. During the second quarter, we took decisive action to improve our business by bolstering near-term liquidity, paying off short-term debt maturities and sharply reducing discretionary uses of cash throughout the business. In April, we raised $400 million through a senior secured notes offering that enabled us to pay off our borrowings under our revolving credit facility while providing access to liquidity. In tandem with this announcement, we suspended our quarterly cash distribution, which represented more than $225 million in cash outflows in the full year 2015. In June, we sold our 50% joint venture interest in Dakota Prairie Refining in a transaction that generated $32 million of additional liquidity for the partnership. Finally, during the second quarter, we made $30 million in related party note cash repayments and $42 million in cash interest payments on outstanding unsecured notes. Net-net, after accounting for all these activities, we ended the second quarter with $470 million in cash and liquidity, $230 million higher than where we started the year. Concurrent with efforts to repair our balance sheet, we made significant progress with our operations excellence initiative during the second quarter, moving from a phase in which we identified potential opportunities for increased earnings capture into a phase in which we have begun to reap tangible financial benefits from our initial efforts. During the first half of 2016, organizational costs have been sharply reduced, new process efficiencies have been realized and a sense of urgency has been fused into our corporate culture. At the center of our operations excellence initiative are our integrated business teams, cross-functional groups of leaders from throughout our organization, tasked with improving the long-term performance of each asset and each product line in our portfolio. Since being convened earlier this year, the integrated business teams have assessed dozens of opportunities for value creation throughout the organization. Following a rigorous analytical assessment of each opportunity presented by the teams, we currently project that the operations excellence initiative stands to generate between $150 million and $200 million of incremental EBITDA for the business by year-end 2018, representing a major step change for the partnership. Please turn to Page 5. Our specialty products segment generated stable adjusted EBITDA in the second quarter 2016 as sales volumes increased significantly when compared to the prior-year period. Following 2 quarters of negative adjusted EBITDA in our fuels products segment, we achieved positive segment level adjusted EBITDA during the second quarter 2016. Our oilfield services segment remains challenged in the second quarter, posting negative adjusted EBITDA in the period. Clearly, given the challenges faced in the oilfield services industry, we're evaluating all necessary and appropriate actions to contain costs while maintaining a high level of service for our customers. Please turn to Page 6. As I mentioned on the last earnings call, our operations excellence initiative represents the bridge between where we are today and our stated vision of becoming the premier producer of petroleum-based specialty products in the market. Our focus remains on improving the efficiency and profitability of assets in our portfolio today, assets that we believe has significantly more untapped value. Within the operations excellence initiative, we have identified 3 areas of self-help: targeted cost reductions, increased margin capture and low-to-no-cost organic growth projects. Please turn to Slide 7. Since joining Calumet, I have been very focused on eliminating waste and making the most of the resources available to us. In the first half 2016, we reduced total selling, general and administrative expenses by $38 million when compared to the first half of 2015, a more than 25% reduction in total SG&A. Importantly, we believe we have more opportunities to reduce costs further as we continue to eliminate waste within the business. In the chart on the bottom right-hand side of the page, you can see that discretionary capital spending is expected to decline 80% year-over-year in 2016, the lowest it has been since 2012. Not coincidentally, as we added fuels refining assets to our portfolio in the 2011 to 2013 period, much of the discretionary spending was directed toward improving these assets. Importantly, most of the self-help projects we intend to pursue on a go-forward basis are not capital intensive. Meaning, we do not foresee a return to large discretionary spending campaigns of years past. Please turn to Page 8. In addition to the cost reductions just referenced, we have also made significant progress towards increasing margin capture. During the first half of 2016, we continued to purchase increased quantities of cost-advantaged heavy Canadian crude oil, feedstock that is currently priced at $14 per barrel below WTI, making it one of the lowest cost feedstocks we can process in our system. As you can see in the chart in the bottom-left side of the page, we significantly increased the volume of heavy Canadian crude oil purchased for the system in the second quarter when compared to recent quarters. As you can also see in the chart on the bottom right-hand side of the page, there has been a direct correlation between the volume of heavy Canadian crude oil purchased in the system and our total average delivered cost of crude oil. In fact, our total delivered cost of crude oil has declined by nearly $3 per barrel when compared to the third quarter of 2015, contributing to an estimated $10 million of operations excellence-related margin capture in the first half of 2016. Please turn to Slide 9. In summary, our operations excellence initiative has experienced early success since its inception in the first half of 2016, although much of this progress has been obscured by the market-related challenges referenced earlier. Our integrated business teams have done an excellent job of identifying these significant opportunities for value creation available to us. From here, we must focus on extracting additional untapped value embedded in our asset portfolio. By year-end 2018, the operations excellence initiative is projected to generate an incremental $150 million to $200 million of annualized EBITDA per year, including $60 million to $75 million of which is expected to be realized in 2016. We are excited by the potential of these efforts, realizing that the total potential price stands to increase as we continue to dig deeper. Please turn to Page 10. As we look ahead to the third quarter of 2016, fuels product cracks remain challenged, RINs prices remain elevated and conditions in our oilfield services business remain very similar to where they were toward the end of the second quarter. Given these market dynamics, we remain highly focused on hitting the objectives set forth in our operations excellence program as we look ahead to the second half of the year. Within our specialty products segment, we anticipate improved margin capture, resulting from price increases that enacted during June 2016, particularly as crude oil prices have retraced back to lower levels in recent weeks. Within our asphalt business, we would expect to see asphalt sales volumes reach a seasonal peak during the third quarter, as in years past. Asphalt pricing, while not as strong as last year, appears poised for sequential improvement as we move into the third quarter. Importantly, increased asphalt sales should benefit liquidity during the third quarter, as we convert asphalt inventory into cash ahead of the winter fill season. Finally, as indicated in our press release issued today, we have maintained our full year capital spending budget at $125 million to $150 million, consistent with efforts to live within our means while conserving current liquidity. With that, I'll hand the call over to Pat for his prepared remarks.
Pat Murray: Thanks, Tim. Good afternoon, everyone. Thank you for joining us today. Please turn to Page 12 of the slide deck. We reported adjusted EBITDA of $70 million in the second quarter of 2016 versus $95 million in the second quarter of 2015. Second quarter 2016 reported adjusted EBITDA includes a favorable lower cost or market inventory adjustment of $40.8 million; net expense of $8.2 million related to the partnership's ongoing compliance with the U.S. Renewable Fuel Standard; and the $7.1 million loss from unconsolidated affiliates, primarily related to DPR, which was included in the results from operations until divested on June 27, 2016. The year-over-year decline in second quarter 2016 adjusted EBITDA was mainly attributable to a decline in fuel products margins, a decline in specialty products margins and higher RSS compliance expense, driven mainly by a significant year-over-year increase in RINs costs. Now please turn to Page 13. As illustrated in this chart, we estimate $51.5 million of the $76.6 million in adjusted EBITDA generated in the first half of 2016 resulted from our self-help program, underscoring the overall importance of this effort to the ongoing turnaround of our business. As Tim referenced earlier, the vast majority of the self-help achieved in the first half of 2016 resulted from reducing SG&A costs, which represented more than 70% of the estimated self-help cost savings in the first half of the year. Now please turn to Pages 14 and 15. In bridging cash between the first and second quarter 2016, the most significant item to note was the $400 million offering of senior secured notes due 2021 completed in April. With the proceeds from this offering, we paid off all borrowings under our revolving credit facility and subsequently paid $30 million on a related party note while ending the quarter with $32.2 million of cash in the currently undrawn credit facility. We ended the second quarter with $470 million of cash and availability under our revolver versus $239 million as of year-end 2015. We believe the partnership will continue to have sufficient liquidity from cash on hand, cash flow from operations, borrowing capacity and other means by which to meet our financial commitments, debt service obligations, contingencies and the anticipated capital expenditures. Please turn to Page 16. We are reiterating our full year 2016 total capital spending forecast. We anticipate full year 2016 capital spending will be between $125 million and $150 million, including $60 million to $70 million for capital improvement expenditures, $45 million to $55 million for replacement and environmental capital expenditures, $10 million to $15 million for turnaround-related capital expenditures and $10 million for joint venture contributions. During the first half 2016, capital spending totaled $72.8 million. And with that, I'll turn the call over to the operator so that we can begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Richard Roberts with Howard Weil.
Richard Roberts: A couple of questions for you to start. The $150 million to $200 million of EBITDA you highlight by 2018, could you split that out at all between cost reduction and quick hit capital projects, and then also maybe how much capital you expect to spend to hit those targets?
Tim Go: Yes, Richard. This is Tim Go. We haven't disclosed how we're going to split out that $150 million to $200 million yet. We've got the plans inside. We just haven't made a decision to disclose that yet. What I can tell you is that it's low-to-no-cost capital, meaning single digits for all that. We're not planning to spend money to capture that $150 million to $200 million.
Noel Ryan: We would also offer - this is Noel Ryan. We would also offer that on Slide 9, we did give you sort of a theoretical breakout of what cost reductions, growth CapEx and margin enhancements look like for the first half of the year.
Richard Roberts: Yes. Okay, great. Let's see, now you got Dakota Prairie sold, any updated thoughts on just how you're thinking about, with regard to your tool assets, sort of where they fit within the portfolio, and then any updated thoughts on potentially selling one or more of those assets?
Tim Go: Yes, Richard. We'd be happy to answer that question. We feel good about the sale of the DPR asset, as we talked about in our press release a few weeks ago. We think it was a good solution for all. Before I get into anything, I would like to say I'm proud of the employees at DPR, starting up greenfield refinery. It hasn't been built anywhere else in decades, starting that up safely, running it reliably was a tribute to the employees of DPR. They just ran into a downturn in the Bakken market, which was unfortunate for them. I think with Tesoro picking it up, it's an example of what we've been talking about all along. Tesoro has synergies and value in their portfolio for DPR that's greater than what DPR represented in our portfolio. And so the sale made sense to both Tesoro, to MDU, our partners as well as ourselves, and it made a lot of sense to the employees and the community in which DPR operated. So that's the philosophy that we've talked about in the past, and it's the philosophy we have going forward. As we go and look at all of our operational excellence opportunities, we have initiatives identified for all of our assets, and we're going to continue down the go-it-alone, I guess, I'll call it, case for all those assets, because we feel good about the plans we have. To the extent that someone else has more synergies or different portfolio where an asset will make more sense to them, we will certainly consider a transaction to get that asset in the highest portfolio value. What I can tell you, Richard, is that we've done our self-evaluations that we talked about at the last quarter. We understand what those - what all of our assets mean within our own portfolio, and so we have something that we can compare and talk to as others approach us and ask us how we value these assets within our portfolio. We can ask how they value it in theirs, and we can actually have a feel for whether or not it's greater or not.
Richard Roberts: Okay, great. And then one last one for me. Some of your larger refining peers have been talking about the potential for economic run cuts in the second half of the year. I know, generally, you operate in some pretty niche markets. So I'm just curious how you think about that potential for your assets in your markets going forward 3Q and 4Q.
Tim Go: Right. Okay. Thanks, Richard. Yes, we definitely see high product inventories throughout the U.S. just like everyone else sees. As you mentioned, Richard, our local markets, we continue to watch carefully. And right now, they continue to experience strong demand. I'd also like to emphasize that our portfolio, the reason we compare to a Gulf Coast 2/1/1 is because we make more diesel than gasoline or at least than our competitors' portfolio typically makes, and we are seeing diesel demand starting to pick back up, and we're anticipating a higher diesel demand in the winter. Having said all that, we're going to be watching economics very carefully and very closely throughout the third quarter, and especially, as we head into the fourth quarter, and we'll make those economic decisions as needed.
Operator: Our next question comes from Ed Westlake with Credit Suisse.
Johannes Morgan Vandertuin: It's Johannes. First question is just looking at these self-help numbers that you have, the $60 million, $75 million and then the $150 million to $200 million in 2016 to 2018, is there a sense you can visit of what the baseline assumptions are that might drive that particular number, whether that be a margin assumption or anything else, and then maybe the sensitivities around it?
Tim Go: Yes, Johannes. This is Tim again. We're using 2015 as our baseline, and we're comparing the self-help opportunities versus our operations at year-end 2015. We're using current economics. And as you can see in the bar chart that we showed in terms of progress so far, the biggest emphasis we have is on costs. Knowing the market models [ph] or cycle that we're in, we're focused primarily on things like SG&A, supply chain costs, raw material costs and field operating costs. And so I can tell you that most of our focus is in that direction.
Johannes Morgan Vandertuin: Okay. So it wouldn't be sensitive to the overall margin environment by and large?
Tim Go: Well, we're using current market conditions, as I mentioned. So it will - to the extent that we have margin improvements, for example, when we - when we're going after heavy crude, that is a big part of our self-help initiative, that will be subject to margin. But for the most part, we're really chasing costs.
Johannes Morgan Vandertuin: Okay. And then just as a follow-up, one of the issues that seems like it needs to be juggled a little bit is just the tension between cash flow from operations versus what the CapEx spend is going to be and making sure it's possible to get that into a situation where the cash flow from operations can cover on spending for PP&E. And I know you published the first half of the year numbers today in the press release. But going forward, do you have a target for when you'd want to try and get a handle on making sure that those cash flows are covering costs as it were?
Tim Go: Yes, Johannes, that's something we look at every day and something that we're watching very closely. I can tell you we're pleased to say that in the second quarter, cash from operations was positive, even after paying interest. We're happy to say that we paid off roughly $30 million of related party loans. We paid down $40 million of interest expense during the quarter, and we still were able to maintain strong liquidity during the quarter. Having said that, we know that we still have to spend money in capital. And although our second quarter of CapEx spending was probably one of the lowest in our history, we understand we still have more to go. So, Johannes, I think the third quarter should be a little bit better based on what we're projecting for our specialties and fuels businesses. But that continues to be our main focus going forward. I can't give you a target, but I can tell you that's our - that's management's main focus.
Johannes Morgan Vandertuin: Okay. Is there a 2017 CapEx number that you have and willing to communicate even just kind of indicative?
Noel Ryan: Probably not at this time. We’ll give our annual CapEx guidance usually towards the end of this year in our third quarter conference call in November.
Johannes Morgan Vandertuin: Okay. Appreciate it. Thank you for taking my call.
Operator: Our next question comes from Brad Heffern with RBC Capital Markets. Your line is open.
Brad Heffern: Hi, everyone. I had a question on the specialty products business. You've talked about, a couple of times now, the pricing increase that you've passed through. At the time that you did that increase, obviously, crude was at $50 a barrel or so, and we've come down quite a bit. I'm curious if you think of that pricing increase as sustainable. Did it reflect sort of the catch-up to the increase in crude price that we'd seen already or is there a chance that if we stay here, we're going to see specialties margins compressed again?
Tim Go: Yes. We think that we were just catching up to the rapid growth in crude prices during the second period. We feel like, as we've talked about in the past, we try to keep up with crude prices as they go up as aggressively as we can. I think our customers understand that, and that's what we did in the second quarter. In the third quarter, we anticipate seasonably strong demand, and we're going to try to maintain margins as long as we can.
Brad Heffern: Okay. Thanks for that. And then thinking about the local market premiums, you mentioned that they've come back in some of your markets. I'm curious, are you seeing levels of local market premiums that you've seen historically? Or is it just up from having no premium earlier this year and late last year?
Tim Go: Yes. It's something that we've been watching very carefully. Obviously, as we've been talking about this over the last several quarters, I can tell you there are seasonal trends that we see at each of our local markets, and those seasonal trends continue with the increased focus and attention that we've put on it. It's probably a little too early to say whether we're seeing more or less than what we typically see because every season is not typical. We've also know that there's been increased production capability that has come online in many of the local markets that we serve. So we're still trying to understand how that impacts the overall seasonality and dynamics of the markets we're in. But what I can tell you is that we're pleased with what we're seeing right now. And I pointed out earlier in my remarks, in Montana, in particular, where I know there was some concern of what will happen with the additional production that goes into those markets, we've been pleased to see that the placement that we've been - the placement strategy that we've been using to place that additional diesel and the way the markets have responded have been very positive.
Brad Heffern: Okay, great. I’ll leave it there. Thank you.
Operator: Our next question comes from Sean Sneeden with Oppenheimer. Your line is open.
Sean Sneeden: Hi, good afternoon and thank you for taking the questions. Maybe on the cost savings side of things. Slide 9, it would appear to me that - or at least suggest to me that roughly two-thirds of that $60 million to $75 million benefits you've kind of already realized this year. Is that the right way I'm supposed to be thinking about that chart? Or am I interpreting that wrong?
Tim Go: No, you're seeing that right, Sean. We've captured a large majority of that already through many of the cost savings that Pat mentioned earlier, SG&A being a significant part of it. We believe there are significant opportunities that we can still capture this year, not only in SG&A, but in supply chain, transportation and logistics, procurement, some further opportunities in raw material costs. So we're going after it aggressively, and we're hoping to be able to be at the higher end of the ranges that we're putting out there. But that's the range that we felt comfortable with sharing at this point.
Sean Sneeden: Okay, no, that's helpful. And so if I'm just trying to itemize the kind of cost savings initiatives that you've had so far, I know you guys talked about $38 million in SG&A. Is it fair to say kind of the remaining like, whatever it is, $10 million or so of other, is that large part going to be supply chain management or is there a big piece of that element?
Tim Go: I think it's split between supply chain and actual field costs that are being reduced at the sites.
Sean Sneeden: Okay. That's helpful. And then maybe for Pat, I know you guys have talked about selling down inventories on the asphalt side as you go into Q3 here. I guess, one, can you give us kind of a rough breakdown of your inventory composition, split between specialty and fuels? Should I be thinking about that as being relatively proportional to the production volumes that you guys put out? Or how should I be thinking about that? And I guess, number two is, how should I be thinking the kind of order of magnitude of kind of working capital benefit from asphalt?
Pat Murray: I think that the inventory breakdown would be certainly more heavily weighted towards the fuel segment of the business. We don't provide a breakdown of inventory between the segments. But in terms of asphalt operations in general, we build usually the fluctuation in inventory balances between the fill season and the pull down season can be in the $40 million to $50 million range. So we think that we have some progress to make over the course of the third quarter as we kind of finish out the season and work through what is historically sort of a peak demand period. So I wouldn't suggest that the fluctuations are so significant to be highly material, but we certainly do expect it to convert a significant amount of the asphalt - remaining asphalt inventory to cash over the course of the third quarter.
Tim Go: Yes, Sean, I can tell you, we drafted 150,000 barrels of asphalt inventory in the second quarter, and we'll draft a lot more than that in the third. It'll be two or three times that in the third quarter.
Sean Sneeden: Okay, great. And then maybe just one big-picture question for you, Tim, and I'll kind of requeue. I know you mentioned that anticipating any - a return to any large capital campaigns you guys saw in the past. How should we think about that, I guess, in the context of some of the larger refining turnarounds that are coming up, I think, in 18 months or so? Is that still kind of within reason for you guys? Or how should we kind of interpret that?
Tim Go: Yes. We've got a turnaround season that's going to begin at the front-end in 2017, and then it'll pick up in 2018 and then tail off in 2019. We're in the middle of putting together our work list and projects that are required for those down times. The reason we did not include those in the $150 million to $200 million is because we're still in the process of evaluating them. As they become more clear and as we decide which ones we want to pursue, we'll disclose those and let you know as we move down that path.
Sean Sneeden: Okay. Should I interpret that as there may be some select kind of turnarounds that you may choose to defer for a year or so? Is that kind of how you're thinking about it?
Tim Go: Well, we have actively been coordinating across our plants to make sure that we spread them out across 2017, 2018 and 2019. I guess, what I would tell you is they're going to happen. It's how much work is going to be done during those turnarounds is the question that's still outstanding. There will be some maintenance and environmental expenditures that are just going to be base loaded. So you can - just like in the past, our environmental and maintenance expenses will go up during the turnaround period. We're just not ready to share that with the investors yet. What I was referring to was the discretionary projects for the margin improvement and cost-reducing projects, those we've not included in the $150 million to $200 million. But there are several that we're looking at now, and we'll let you guys know if we decided to pursue any of those.
Sean Sneeden: Okay. That’s very nice. Thank you very much.
Operator: Our next question comes from Mike Gyure with Janney.
Mike Gyure: Yes. Thank you. In your, guys, initiative to process more heavy crude, it looks like you're about at 35,000 barrels a day, with a goal of getting to 40,000 to 45,000 by the end of the year, and then ultimately, 70,000 over the long term. Can you talk about logistically or maybe cost constraints that you have that would sort of stop you? Or how do you get from 40,000 to 50,000, I'm sorry, 40,000 to 45,000 to 70,000? And what will that take on the cost side of things?
Tim Go: Yes. As we - moving to heavy crude is going to be a critical part of our strategy. We've talked about that in the past, and we'll - we continue to put that in front of our business teams. I can tell you, getting to 40,000 and 45,000 this year, we don't think there are any major capital expenditures required for that. It's just a matter of rebalancing our portfolio, managing runs within the plant and placing those products and having placement for those products ready and available to go. So we believe that we're going to continue to make progress towards that 40,000 to 45,000 through the second half of the year and feel confident that we'll be able to reach that level. I think when you get to the - how do you get to 70,000? I think you are talking capital at that point, Mike, so we had several ideas and several projects that have been progressing through the system, helping us manage through that. Again, a lot of it's going to be associated with what do we do with products that we make, whether it be the asphalt, whether it be the diesel, whether it be the gasoline. And we want to make sure we have a strong, robust plan before we embark on that process. But let me just tell you that we've got lots of ideas and lots of people working on that right now.
Mike Gyure: Okay. And then maybe a follow-up to that. So should I assume that going from the 40,000 to 45,000 by the end of the year to the 70,000 isn't included in your sort of the $150 million to $200 million self-help benefit that you're expecting in 2018?
Tim Go: That's correct. That would not be included in there.
Mike Gyure: Great. Thank you very much.
Operator: Our next question comes from Gregg Brody with Bank of America. Your line is open.
Gregg Brody: Good afternoon, guys. Got a few questions here. So just starting with specialty products, just thinking about volumes throughout the rest of the year. You had a nice uptick year-over-year. Is that the right way to think about projecting the rest of the year whereas there should be incremental volumes from last year? And maybe you could speak specifically about if there's any sort - anything happening there that's consistent or inconsistent with your capital spending over the last couple of years on your plan.
Tim Go: So yes, we've been very focused on our specialties business as we talked about in our vision that we rolled out earlier this year. As we lean more and more on specialties as our core business, we expect to see our specialty business continue to grow, both from a volume standpoint and from a margin standpoint. So what you're seeing is a concerted effort by our specialties business. And Bill, you haven't had a chance to chime in yet. Why don't I turn it over to you and talk about specialty volumes and growth?
Bill Anderson: Sure. In the macro side of what we do in the specialty side, we saw some capacity come out of line a little over a year ago at Pascagoula, and it's taking some time for the market to adjust to that new capacity. And when you go through the fourth quarter last year when purchasing is at a low end, as we've climbed out of that into this dragging season and into summer, things have balanced out a lot more than where we were. It's a different market than where we were last year. So we feel more positive about where we're heading.
Gregg Brody: And then maybe the lower of cost or market adjustments that were made this quarter, is that something you would expect to reverse next quarter? And can you actually give us a sense of where that - how that contributed to each segment?
Pat Murray: Yes. So it will depend - the most - the biggest determinant of the lower of cost or market adjustment really is where pricing is at the end of each quarter. So watching the trend of where crude oil pricing moves, where product pricing moves as we approach the end of the quarter is the biggest way to think about that. In terms of the lower of cost or market impacts on the quarter by segment, there was an impact - the total impact, as we mentioned, was about $40.8 million. The allocation of the impact between the specialty and fuel segment was roughly equivalent between the 2 in the quarter. So it's - there is certainly a movement up and down as crude oil prices have been fairly volatile. I mean, in periods when pricing doesn't move, there shouldn't be very much of an LCM impact.
Tim Go: And, Gregg, what I would tell you is, even if the prices reversed exactly, our inventory levels will not. And so, for example, we know we went into the third quarter with higher asphalt inventories than we're going to come out of the third quarter. So even if the prices were exactly elastic, because we would have sold most of our asphalt inventory in the third quarter, the LCM impact will be less.
Gregg Brody: Got you. And maybe just moving to asphalt, you suggested volumes should be up, which makes sense with the driving - or the paving season. What does pricing look like? And did the areas that your marketing - I know there were some efforts to maybe market it through different channels. How have those progressed?
Tim Go: Yes, there's been a lot of talk about asphalt throughout our peers and throughout the market. I can tell you that the asphalt market hasn't been as strong as last year, but it's been good. And the pricing that we're seeing, both in our Great Falls market as well as our Superior market, they seem to be - the pricing we're getting is what you would consider to be at market or we would consider to be reasonable, given the crude prices that we're at and the activity that's going on. So overall, we've been pleased with how the asphalt business has been shaping up.
Noel Ryan: On a percentage basis, asphalt sales increased more than 50% in Q2 '16 versus the prior-year period. So we're producing well in excess of 20,000 barrels a day at this juncture.
Gregg Brody: And then your - some efforts to market it outside of your local areas, I think you were talking about possibly retail or trying to get it to the West Coast. Is that going anywhere?
Tim Go: Yes. We've been pretty happy, Gregg, with our asphalt movements, really, this season. With our heavy crude strategy, we know that we're going to have to move more asphalt as a result of that strategy, and we went into the season with a plan to do that. We've had some partnerships with some of the retail asphalt firms in different parts of the country that we've been able to move the asphalt to economically, and that's been going well. And we feel like in the third quarter, we're going to be doing more of that. But we're in a good position right now, and we think that's going to play out as planned for the third quarter.
Gregg Brody: Great. I have a few more. If - I think I've chimed in late, but if there's people behind me, I'll jump back in the queue. But if you tell me there isn't, I will just keep going with a couple more.
Noel Ryan: Gregg, you're our last caller, Gregg, so you can go ahead.
Gregg Brody: Thanks, guys. Maybe just switching to oilfield services. I know that was kind of on your - on the front of your list to - at the top of your list to try to do something with. Where do you stand today? And how do you think - where do you see that - how do you see that playing out?
Tim Go: Well, our oilfield services sector, Gregg, continues to be under severe pressure. If you look at rig counts, I mean, we're down 40% year-over-year. As a result, our op costs, our headcount, they're all down 40% year-over-year. Having said all that, there have been glimpses of recovery here. You may have - you may be referencing the Halliburton-Schlumberger comments about how the second quarter - they're calling the bottoming out period. I would tell you that we're not ready to say that. Of course, they may have better information than we do, but we are anticipating lower-for-longer and preparing ourselves for that type of environment, continuing to cut costs and continuing to stay in step with the lower drilling activity. I can tell you we've been successful in holding our market share during this down period. And that means that when the recovery does happen, we think Anchor will be poised to rebound and recover with that market once it does finally turn. Having said that, I know there's a lot of folks out there who are looking to - looking for opportunities in the oilfield services sector. We've been talking to a few of them. We have no current plans or current desires to sell assets like I told you in the beginning in terms of targeting those assets. But if someone comes with a portfolio that tells them that it's worth more to them than it does to us, I'll go through this story again, we're going to listen to them, and we're going to talk to them, and we're going to see if there's a deal to be made. But I just want to make sure you understand, we're looking at this as how do we make this business work in our portfolio.
Gregg Brody: Got it. And then just RINs, you made some comments in your press release about 120 million barrels that you have, I think I got the number right, per year. How are you thinking about addressing that? Is there anything you can do? Or is it basically you're going to have to pay every quarter about $30 million of RINs or probably about $30 million of RINs?
Tim Go: Well, you've got the right thought there, Gregg, roughly it's $30 million a quarter in RINs. We've got a team that's looking at all of our options, whether that's generating more RINs ourselves, blending more of the renewables into our own products. We're looking at - there's been a lot of talk in the press this week about moving the point of obligation. We certainly support that effort to put that back where we believe it should be in the blending spot. We do believe that the current system is creating perverse incentives in the market, and it needs to be addressed. But absent any type of change from there, we're going to work hard on managing our RINs obligations. And we have multiple ways of doing that through our blending activity, through our biodiesel production that we have in our Dickinson plant, through our trading strategies. We're going to leverage everything we can to minimize the liabilities associated with RINs.
Gregg Brody: That's helpful. And then my last question. Just as you think about processing more Canadian crudes and you kind of weigh the impact of having extra asphalt or additional asphalt as a byproduct, have you thought about what the true capture rate is associated with the price of energy you capture from switching from WTI to WCS? Is it - is there a way to quantify that with the percentage or one wouldn't think that we think close to 1, but when you tell the asphalt aspect, then it would bring it down, I think. But I don't know if you've thought a lot - if you've thought very hard about that.
Tim Go: Well, Gregg, I can tell you, we've thought very hard about it. We've got an LP that runs every week as we try to understand the nuances of the market and where the economic incentives lie. As you know, in the summer months, the asphalt price is actually more attractive. But at the same time, gasoline prices are generally more attractive as well. And so we have to weigh both of those each week to understand the crude sway and which direction we ought to go. In the wintertime, gasoline prices typically drop, so do asphalt prices. But then we could put it in storage, and we can wait for the following season. So our LP, we're continuing to make that more and more sophisticated each week, but that LP run and that thought process that goes along with that is helping to make sure that we're managing capture rate, as you talked about, Gregg. So I can't tell you that we're just going to go balls to the walls and max heavy crude at every chance, because we do have to balance the market and the pricing for all the products associated with it. And we do that on a weekly basis.
Gregg Brody: Got it. So we’ll have to watch the markets. Listen, thank you for all the information and good luck with the plan now that it’s articulated.
Operator: That concludes the Q&A session. I'll now turn the call back to Noel Ryan for closing remarks.
Noel Ryan: Thank you for joining us on today's conference call, everyone. If you have any questions, please contact me, and I can assist you. And this concludes our conference call. Talk to you next quarter.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect, and everyone, have a great day.